Operator: Greetings and welcome to the Uranium Resources, Incorporated Third Quarter 2012 Update. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Deborah Pawlowski, Investor Relations for Uranium Resources Incorporated. Thank you, Ms. Pawlowski. You may now begin.
Deborah Pawlowski: Thank you, Rob, and good morning everyone. We certainly appreciate your time today and your interest in Uranium Resources. On the call, I have with me Interim President and CEO, Terence Cryan, who will review the recent events of the last quarter and what our focus and strategic initiatives are for the company as we move forward. Tom Ehrlich, Chief Financial Officer will review our current financial position and also available on the call is Mark Pelizza, Senior Vice President of Environment, Safety and Public Affairs. After formal remarks we will open the call for questions-and-answers. If you don't have this morning’s news release it can be found on our website at www.uraniumresources.com. As you are aware, we may make some forward-looking statements during the formal presentation and Q&A portion of this teleconference. Those statements apply to future events, which are subject to risks and uncertainties, as well as other factors that could cause the actual results to differ materially from where we are today. These factors are outlined in the news release, as well as in documents filed by the company with the Securities and Exchange Commission. You can find those on our website where we regularly post information about the company, as well as on the SEC's website at sec.gov. So please review our forward-looking statements in conjunction with these precautionary factors. With that, I would like to turn the call over to Terence to begin the discussion. Terence?
Terence Cryan: Thank you, Debby. And good morning everyone. We appreciate your time today. Before I get started, I would like to comment on the resignation of our President and Chief Executive Officer, Don Ewigleben, effective at the end of September. We were disappointed with Don’s departure and made a concerted effort to retain him as our CEO. Ultimately, it was a lifestyle decision, not a monetary one that Don made for himself and his family. Immediately, after his departure, we began actively searching for replacement and are interviewing potential candidates. Ideally, we will be in a position to identify a candidate as soon as possible though of course as the Board, we must be diligent in our search to find the best possible leader for URI. As you may have seen in this morning’s release, there are near term decisions that we need to make. We are narrowing our priorities and focusing on specific areas that we believe will position us for the long run. Ultimately, we remain confident in the long-term fundamentals for the nuclear industry and the outlook for URI. Our strategic intent is to have URI in a strong position to capitalize on the potential surge in pricing when it happens. As experienced in 2005 to 2007, we know the market can move quickly. Nonetheless, there has been a steady decline in uranium prices with the spot price dropping over 20% in the last six months. Uranium spot price closed under $41 at the end of October. Many industry observers now consider that prices may remain depressed through 2013 until the effects of the Fukushima related nuclear plant slowdowns dissipate. As a result, an increasing number of global uranium producers are announcing cutbacks in production plans and canceling expansions. In New Mexico, we are delaying construction plans for our Churchrock Section 8 Project. This is significant because it eliminates the near-term requirement to raise the $50 million we have targeted in financing for the project. While we are delaying construction, we will continue with actions that improve the economics of the project, and facilitate future development options for it. One option we are studying is a phase development plan that would reduce our upfront capital requirements. Importantly, we are continuing to advance the negotiations with the Navajo. We believe the conversations are going well. Although, we have mentioned it before, it is a major accomplishment just to be in these discussions and we appreciate the Navajo Nation and it's government for their recognition that we are truly interested in keeping the environment protected and protecting the welfare of the people in the region and believe that our project can. Our objective is to reach a comprehensive agreement, mutually beneficial to both parties regarding ISR mining of uranium in New Mexico. At the end of October, we released the results of a ground water report we developed in conjunction with the Navajo Nation in the City of Gallup. Study was very positive and substantiates our belief that ISR mining, specifically at our Churchrock project, is a safe, ground water friendly way to extract uranium. Specifically, the study demonstrated that there is no discernible risk that ISR activities would adversely affect groundwater available to the city of Gallup and the Navajo Nation and indicates that current and future water supply wells for the area will not be impacted by Section 8 ISR activities. We believe this jointly developed study is a solid step forward to help address mining concerns in the area. The refinement of the feasibility study is in its final stages. We anticipate to having a summary of the study made available to the public in December of this year. Certainly, the price of the uranium has significant impact on project economics. The base price used in the study was about $60 to $65 which provided a reasonable return. We recognized that the current royalty on the project impedes the projected rate of return on the project. We are in discussions with royalty holders aimed at reducing this burden and improving the anticipated rate of return on the project. Importantly, at the end of August we did complete our acquisition of Neutron which added more than 50 pounds million of in place mineralized uranium material positioning URI as one of the largest US uranium developing companies. Some additional strategic benefits included resource development synergies in the Ambrosia Lake region adding highly qualified mining and permitting professionals and a previously permitted conventional mill site. In Texas, as noted in our release ground water restoration has been completed and is currently been monitored for stability at four production areas at our Kingsville Dome and Rosita projects. Final closure of these production areas is targeted for the second half of 2013. Restoration activities are continuing at three other production areas two at Vasquez and one at Kingsville Dome with stabilization targeted to be completed next year. Phase II drilling for our joint Los Finados exploration project with Cameco wrapped in August. Cameco which now owns 50% of the project agreed with us to delay the decision to proceed with Phase III until the end of this year. Although, there have been no significant findings, the geologic opportunities in the area are still encouraging. We also continue discussions with Itochu and UG regarding restructuring our current supply agreements in Texas. Restructuring the contracts would enable us to return to production sooner in Texas when market conditions permit. To accomplish our priorities, we are containing our cash requirements as much as possible while still moving forward. As you might surmise, we will need cash to manage through the next year. To do this, we are formulating a financing strategy which provides adequate liquidity, well minimizing dilution to our existing shareholders. Our shareholder rights offering is one option we are considering. In summary, we need to manage our cost structure, stay focused on our priorities, find the right long-term leader for the company and be in a position to fully realize the value of our assets in the ground when the market improves. With that, I would like to hand the call over to our Chief Financial Officer, Tom Ehrlich who will discuss our liquidity positions, Tom.
Tom Ehrlich: Thank you Terry and good morning everyone. With regards to our liquidity position, we had a cash balance at the end of September 30, 2012 of approximately $4 million. This compares to cash balance of about $2.9 million at year end 2011. In early September of this year, we closed Tranche 2 of the investment agreement with RCF and raised an additional $5 million in financing. The purchase price of the shares that we raised was about $0.52 a share representing the volume weighted average price of the 20 days preceding the Neutron closing and they purchased right at 9.7 million shares of the company's common stock. During the third quarter, the company sold 5.6 million shares of common stock and raised $2.9 million under our existing aftermarket shares agreement. In October of this year, we sold an additional 2.2 million shares under the program and raised about $937,000 of that proceeds. At the end of October, we had a total of about $9 million in share value that was available for future sales under the ATM program. During the first nine months of this year, the company used $10.4 million of cash in operations and $7.8 million of cash investing activities. About half of which of the money is used in investing activities were directed towards funding of Neutron’s operating and development budget in connection with the merger agreement. One other area that we got [facing] us is our NASDAQ listing and regarding the status of this matter, we are currently under a 180 day extension for our NASDAQ listing which runs through mid-January of next year. Should we not be able to meet the minimum bid requirements of $1 for 10 consecutive days by January 14, 2013; we would be able to move into an [appeal] process with the listings standards committee with a plan to achieve a requirement to get back into compliance. That plan would need to include the prospects and the reality of a reverse stock split. Any reverse stock spilt that we put in place would require a shareholder approval so we need to go out with a full proxy solicitation to move on that one. Terry, can I turn the call back over to you?
Terence Cryan: Thank you Tom. Operator, we would like to open the call for any questions.
Operator: Thank you. (Operator Instructions) Our first question is from [Gerald Fay], a Private Investor. Please proceed with your question.
Unidentified Analyst: I'm an individual investor; I have been for quite some time and a couple of things you mentioned in the introduction Mr. Cryan. The shareholders rights plan that you talked about, can you flush that out a little bit?
Terence Cryan: Well, thank you for your question. As I noted in my remarks, we will need to raise additional financing in 2013. We are looking at a range of options but we are very cognizant of the fact that we want to minimize dilution to our existing shareholders as we secure the necessary financing. One option that we are looking at is a shareholder rights plan which would allow shareholders to maintain their pro rata interest in the company. But again, we have not finalized our financing plan but intend to do so before year end.
Unidentified Analyst: Correct me if I'm wrong, the shareholder rights plan may also clearly known as a poison pill?
Debby Pawlowski: No, Gerry. This is Debbie. Shareholder rights plan basically it offers you rights to purchase shares in the company. Typically, it will be done at some kind of a discount when we offer the rights to you. So you are just basically buying into the rights than when we [offer] to you we will offer to you at a range and we will provide like a given range for the rights and we will provide a given time period that it will occur in that. Is that correct Harry, and so, I am confusing them. But go ahead.
Unidentified Analyst: How does that prevent dilution?
Deborah Pawlowski: Because the shareholders themselves have the right to purchase it. So if you purchase up, you get your pro-rata amount of shares that you already hold. Your piece of the pie stays the same.
Unidentified Analyst: Okay, I am not following that.
Deborah Pawlowski: I will follow up with you afterwards.
Unidentified Analyst: I am sorry for that.
Deborah Pawlowski: No problem.
Unidentified Analyst: It seems to me that that would just be a plan that would make it less likely that somebody would take over the company or put control for that decision in the hand of Board of Directors rather than in the shareholders stand?
Deborah Pawlowski: No.
Terence Cryan: Not at all. We are looking at this purely as a financing vehicle and I think that you maybe confusing that with some sort of a poison pill structure and that is certainly not our intent.
Deborah Pawlowski: Yeah, that’s not what this is at all.
Unidentified Analyst: Given that you have put off your plans to start construction in 2013, are you giving any tentative date or is it totally dependent on the market for uranium?
Terence Cryan: Well there are a number of issues that will impact any decision to move forward on construction at Section 8 Churchrock. Obviously, reaching a final comprehensive agreement with the Navajo is an important component of that.
Unidentified Analyst: Understood that. I believe that I brought that up in the last call, and it seems that you would now see the negotiation and litigation as far as access rates which I am concerned is a major issue. Don’t they have a verdict - I understand you are working well with the Navajo Nation I really appreciate that, but aren’t they in a very strong negotiating position if they can totally inhibit your access to Churchrock Section 8.
Terence Cryan: Actually I think that we are making very good progress, and as you probably know we already have reached the temporary access agreement with the Navajo Nation. This is a significant accomplishment and I think it really does represent a turning point in our relationship with the Navajo. We have continued to build on that, and our objective is to reach a negotiated agreement with the Navajo Nation on permanent access rather than pursuing a litigation strategy.
Unidentified Analyst: Yeah, understood. One last thing and got to be frank with this compensation. You are basically in a hibernation mode right now, as I understand it. There is very little going on, the revenues coming in. Compensations are from what we can see publicly, really high any thought so far if we can at least suggest changing their plan to one instead of using the ATM facility to go out and raise money to pay the salaries compensate in those shares so that the interest of the directors are --.
Terence Cryan: I think there is really I think may be two questions embedded there. First let me just talk about compensation as a philosophy. In our history as a company, we have at in difficult times taken aggressive and creative steps to address compensation. And that is something certainly that we will look at going forward, but we also have to recognize that with the current state of the mining industry, we do need to remain competitive on compensation in order to attract the best talent, but certainly compensation is an issue and something that we take very seriously and our history has been, in tough times we have found creative ways to lower our compensation expense. I think the second part of our question that might have been embedded there, was in relation to the ATM. While we believe that the at-the-market structure has been an efficient and cost effective way for us to raised capital, we recognize its obvious limitations and we also recognize the potential overhang effect that it has on stock. So as we look at our financing options to 2013, while the ATM is potentially part of the equation, if on its own will not be the answer.
Unidentified Analyst: And to your other answers are?
Terence Cryan: Well, I think as we have already indicated, we are evaluating a range of options. Our rights offering is certainly one of those options and our intension that we will finalize our financing plan about a year end.
Operator: I will now turn the floor back to management for closing comments.
Terence Cryan: Well, we certainly appreciate your time and attention today. We look forward to continuing this dialogue with you and look forward to communicating with you on a very regular basis as we move forward with our search for a permanent CEO as we move forward with our plans for 2013. So once again we thank you for your time and attention.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.